Operator:
Jerrit Peter: Good afternoon, good morning, and thank you for joining On's 2023 Fourth Quarter and Full Year Earnings Conference Call and Webcast. With me today on the call are Executive Co-Chairman and Co-Founder, David Allemann; CFO, and Co-CEO, Martin Hoffmann; and Co-CEO, Marc Maurer. Before we begin, I would briefly remind everyone that today's call will contain forward-looking statements within the meaning of the Federal Securities Laws. These forward-looking statements reflect our current expectations and beliefs only and are subject to certain risks and uncertainties that could cause actual results to differ materially. Please refer to our 20-F filed with the SEC earlier this morning for a detailed discussion of such risks and uncertainties. We will further reference certain non-IFRS financial measures such as adjusted EBITDA and adjusted EBITDA margin. These measures are not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Please refer to today's release for reconciliation to the most comparable IFRS measures. We will begin with David, followed by Martin, leading through today's prepared remarks, after which we are looking forward to opening the call for a Q&A session. With that, I'm very happy to turn over the call to David.
David Allemann: Thank you, Jerrit, and welcome everyone to our fourth quarter and full year 2023 results call. I'm talking to you from Forrli (ph) in Zurich while my partners Marc and Martin are tuning in live from the New York Stock Exchange. I'm excited to tell you that 2023 has been another exceptional year for our brand. Also, very significant revenue growth of 47% to CHF1.79 billion in 2023. This turns into even 55% growth on a constant currency basis and exceeds the expectations that we had for the year. It means that On is capturing market share faster than competitors. I would also like to point out a gross profit margin of 59.6% on our journey to becoming the most premium global sports brand. Today, I would like us to speak about why On is a performance sports brand that appeals to a far wider audience. As you know, the journey of On is deeply rooted in our commitment to innovation, catering first to athletes and runners. In 2023, we witnessed our running products soar to new heights, further solidifying their dominant position in our portfolio. Let me share an example of this success with the Cloudmonster. Launched just two years ago, this running shoe has quickly ascended to be our highest absolute growth franchise in 2023, but we don't pause here. Just two weeks ago, we unveiled the Cloudmonster 2, and in early April, we will launch the innovation-packed Cloudmonster Hyper. This move not only amplifies the momentum in running, but also introduces a range of options for our channel partners, smart-tiering (ph) is in our playbook. I would like to highlight that the success of the Cloudmonster franchise is part of a broader narrative where seven of our franchises now contribute over 5% each to our growing top line. Besides the Cloudmonster, this also includes franchises like the Cloudswift and the Cloudrunner in running, the Cloudnova as a running sneaker, and the Roger franchise in tennis. We are expanding the strength and diversity of our innovation-driven portfolio like never before. The strengths of our running innovation is showcased by Hellen Obiri scoring major marathon wins for On in our most advanced shoe technology. Making history in 2023, Hellen became the first woman in 34 years to clinch victory at both the Boston and New York City marathons in the same year. And let's not forget her stunning performance at the New York City Half Marathon, where she didn't just win she shattered the course record. This isn't just a win for Hellen, it's a testament to the On brand's growing influence. This is also clearly visible in the fast growing share of On shoes on major running routes across the world. I'm especially proud of this stellar growth as it is the result of the passion and relentless execution drive of our team. We're beyond thankful for their enormous contributions and the infectious optimism they bring. They truly inspire me. I talked about the success of On in running. Now let's zoom out to see the bigger picture. As we reflect on the first post-pandemic year, let's look at the remarkable journey of On in the evolving sports and fashion landscape. We all know that the pandemic has been a catalyst for change, redefining lifestyles and fashion norms. We have been liberated to work more from home, introduce sports and movement to every day, and wear sportswear as the new uniform. Going way back, this revolution reminds me of Coco Chanel freeing women from corsets and introducing comfort and pants to the female wardrobe. Yes, pants. As many of you will know, this happened in the early 20th century. Since then, tech fibers and new manufacturing methods in footwear and apparel have allowed sports brands to retire the military uniform and the classic dress as prime archetypes and inspiration for fashion, out with the coat, formal jackets, leather shoes and the dress in with sneakers, tights, track pants, hoodies and technical jackets. It's the next revolution. The last pivotal years made it clear that sports is the new uniform, the new normal that will continue to transcend culture and fashion. Sports is not just an activity, it's a statement, a lifestyle, a new luxury for a generation, valuing movement and exploration over possession and status. It follows this logic why fashion brand Loewe has partnered up with us to introduce technical sports footwear and apparel to their collection. The joint edition of the Cloudtilt sneaker has been a spectacular success, flying off the shelves. Our partnership with Loewe, rooted in creativity and innovation, continues to thrive across apparel and footwear and to elevate On as the most premium sports brand. It is also no coincidence that global fashion brands pivot to sign global sports stars as ambassadors to play in the live sport arenas of the Super Bowl and the Olympics. When we invited Roger, Roger Federer, to become a co-entrepreneur at On a few years ago, it was done to build on the growing cultural relevance of sports and its most exceptional talents. I'm very happy that young tennis greats Iga Swiatek and Ben Shelton have since decided to join On. They are not only admired for their game, but also for their personality. Their wins in the spectator sport, Tennis, fully outfitted in On gear, also elevate On's apparel to a new level of broad recognition. As On is expanding its reach, the partnership with many of the world's best athletes will always root us in performance and sports. Because one thing is clear, On is not a luxury fashion brand, but a premium sports brand. Yet it happens that On has been emerging as a new brand in sports right at the moment where sports is not the domain of weakened activities anymore. Instead, sport and movement is literally getting woven into the fabric of everyday life. This ties into On's mission to ignite the human spirit through movement, to not just dream the future someday, but on most days. These are the days where our focus on performance, sustainability and design perfectly aligns with the contemporary consumers' expectations. It's no surprise that On is gaining strong brand momentum with teens according to a recent brand study. To connect to new consumers even more intimately, you will see us expanding On's global presence by opening an additional 100 brand stores worldwide in the coming years. Believe me, this move isn't just about featuring our cutting-edge footwear. It's also a commitment to showcase On apparel and dress our community from head to toe. In 2023, our apparel line made significant progress. In our flagship stores in New York, Paris and Shanghai, roughly one in six items sold is already fitting the body, not the feet. Now, let's look ahead to 2024. This will be an exciting year for the On community and to Olympics in Paris. We are poised to demonstrate On's athletic DNA. Expect groundbreaking On product innovation to show up at the Olympics. Up to a dozen athletes of the On Athletics Club will compete together with stars like Hellen Obiri and tennis world number one, Iga Swiatek. Or as the New York Times wrote in a recent feature headline about the On Athletics Club, the most impressive world championship team isn't a country, it's a brand. From my opening, there are two key points to hold onto. Firstly, On remains committed to being a performance sports brand at its core, dedicated to innovation and serving the needs of athletes. Secondly, in today's world sports gear is becoming the new uniform in footwear and apparel. As a leading premium sports brand, On is ideally placed to be a driving force in this significant cultural transformation. Let's continue to dream big to push boundaries and to innovate in this transformation to sports culture as the premium sports brand, On. And with this, I'm passing the baton from Zurich to New York and to our Co-CEO and CFO, Martin Hoffmann. Martin, please.
Martin Hoffmann: Thank you very much, David, and hello to everyone on the call. We are very excited to be hosting today's call from the New York Stock Exchange. Being here brings back great memories from our listing event in September 2021. It fills us with an immense sense of pride to see what our team has achieved in the first-two years since going public. We observe very strong growth, incredible increase in brand awareness, and significant gains in market share nearly everywhere around the globe. Seeing with our own eyes, the fast-growing share of runners in On product along The Bund in Shanghai. A few weeks ago, or when running through Central Park these past days, but also the increasing diversity and more younger fans wearing our products is extremely rewarding. On our journey towards building the most premium global sportswear brand, 2023 was another exceptional year. David highlighted some of the big achievements we were able to celebrate. All of this is reflected in our very strong financial results. We significantly exceeded our expectations voiced at the beginning of the year and reached CHF1.79 billion in net sales, a 46.6% increase compared to 2022. It's worth reminding that this includes considerable translation impacts from the strength of the Swiss Franc throughout 2023. On a constant currency basis, we are thrilled to say that On grew by over 55%. As the most premium sportswear brand, our focus is on combining strong top-line and bottom-line growth. In 2023, we achieved this outstanding net sales growth, while bringing efficiency and profitability to new heights. We significantly increased our gross profit margin from 56% to 59.6% and our adjusted EBITDA margin from 13.5% to 15.5%. At the same time, we have grown our DTC share from 36.4% to 37.5%, significantly optimized our inventory position and achieved a positive cash flow of CHF163 million, the highest in the history of the brand. Thanks to our partnership with the best and most meaningful retail partners. Net sales from the wholesale channel exceeded CHF1 billion. We also generated more than CHF1 billion sales in the Americas region and more than CHF1 billion gross profit. Over 230 million visitors came to our website, a growth of 63% year-over-year. These successes belong to our team. Including retail, we have grown from 1,700 to over 2,400 people, now representing 94 nationalities in over 20 offices around the world. Our culture is at the center of our success and our focus remains on building a high performing team centered around our mission. We are deeply grateful for all your great work and your passion. The strengths of the brand and the momentum we have seen continued into the fourth quarter. Throughout the quarter, we observed very strong consumer demand across all channels. We had a very successful holiday season, while maintaining a high share of full price sales. Record high traffic to our website and stores around the world are a true testament to the strength of the On brand and increased global awareness. As a result, we achieved the highest DTC share in the history of On, supporting our highest gross profit margin since the IPO and an adjusted EBITDA margin ahead of our own expectations. We definitely finished the year with great momentum. As most of you are aware, the constraints in our Atlanta warehouse back in Q3 2022 and the resulting shift of volumes to Q4 '22 made for a very tough comparison quarter for our Americas business in particular. With this in mind, we are thrilled to have achieved 31% net sales growth on a constant currency basis in the fourth quarter. On a reported basis, reflecting the considerable FX translation impacts, we reached global consolidated net sales of CHF447.1 million and a 21.9% growth year-over-year. Compared to the exceptionally strong holiday season in '22, our DTC channel grew by 38.2% to CHF206.6 million. Currency neutral, the growth was 49%. Sales from DTC accounted for 46.2% of net sales in Q4 '23 versus 40.7% in Q4 '22. The significantly higher DTC share serves as a further validation of our DTC focused multi-channel strategy and the exceptional momentum of our own channels. For the full year 2023, the resulting growth in our DTC channel was over 60% on a constant currency basis. We are excited to see the contribution of our own retail stores to this great achievement. During '23, we opened 15 new retail stores, 10 of which are located in China. In Q4 alone, we opened six new stores in London, Miami, Paris, Beijing, Chengdu and Guangzhou, and we also expanded our New York Lafayette store. We're eagerly looking forward to the openings in the upcoming weeks and months. Personally, I'm very excited for our first store in my home country, Germany. A new 300 square meter store in the center of Berlin is planned to open later this month, but equally for our recently opened store in Portland, the home of our brand in North America. As anticipated, reflecting some of the comparison period dynamics, wholesale grew more modestly in the quarter, achieving 10.7% reported or 19% constant currency growth. Our wholesale partners observed strong sellout numbers at full price both in their brick-and-mortar locations, as well as their online presence. Most of this volume had been shipped towards the end of Q3 in anticipation of the strong Q4. This is reflected in our combined wholesale growth for the second half of the year of 26.8%, equivalent to 36% on a constant currency basis. In EMEA, as previously discussed, we are executing our strategy to fully emphasize the most premium and highest quality growth, reflecting in the closure of around 200 doors in Central Europe that we deem non-strategic. These stores have officially stopped receiving products as of Q1 '24, but had already reduced their orders in Q4 '23 to some extent. We will continue to manage our different channels very consciously. While we will be adding a lower number of incremental wholesale doors in the future than we have over the past years, we see significant potential for deeper penetration as strategic accounts, same-store growth and ongoing market share gains. We are very pleased to see how this opportunity materializes with the launch of some of our spring-summer '24 starts. The Cloudtilt initially launched in a limited collaboration with Loewe is now more broadly available and has seen an incredible launch. This completely new all-day silhouette is clearly complementary to our existing portfolio and based on the feedback and demand from our partners, we are confident that our team has created another blockbuster in the making. Let me move to our regional performance. As I just mentioned, our focus in EMEA on a more selective wholesale distribution is paying off. We saw an increasing high quality demand in our DTC channel more than making up for the door closures on the wholesale side. In aggregate, net sales in EMEA grew by 22.9% to CHF112.5 million for the fourth quarter. On a constant currency basis, growth in EMEA was 26% versus the prior year period. The Americas grew by 18.5% in Q4 to CHF300.6 million. This marks the strongest quarter for the region in the history of On, and reflects the strong demand for our products. As an EMEA, we have seen a disproportionate growth of the DTC channel. While the reported growth includes nearly 11 percentage points of FX translation impacts as well as the constraints by the comparison period dynamics, our constant currency growth is at 29% for the quarter. We continue to be very encouraged by the underlying dynamics and the strengths of the brand in the region. APAC reached net sales of CHF34 million in Q4, corresponding to a growth rate of 57.7%. APAC was again the most impacted by FX translations. On a constant currency basis, growth in the region has been over 75%. We are extremely excited about a very strong momentum in China and Japan, and in particular, our ability to gain share and awareness with the dedicated running community. In the Shanghai Marathon, held at the end of November, On ranked as the fifth overall brand in terms of presence on runners' feet, serving as a demonstration of the brand's performance credibility in China. Turning to the performance by product. Apparel had been in the focus for our marketing campaigns in the fourth quarter. We are very pleased to see this has led to a fourth quarter growth rate of 60.1% to reach CHF18.4 million. In our DTC channels, apparel grew 110%. In APAC, the apparel share exceeded 10% in the fourth quarter. The strong demand provides a tailwind to 2024, where exciting new products, updated sizings, and more focus across all channels are expected to drive further success. We are thrilled to be launching our tennis apparel later this week. We know that our most loyal fans have been waiting for this ever since Iga and Ben first set foot on the court in our gear last year. Net sales from shoes grew by 20.4% in Q4, reaching CHF425.7 million. David mentioned the unparalleled success of the Cloudmonster. It's no surprise that Cloudmonster was also one of the significant growth contributors during the holiday season. More broadly, we are thrilled to see our strategic priorities playing out as intended with a large part of growth being driven by our performance running ranges. In performance all day, the Cloudnova has established itself as a holiday season favorite, continuing to resonate very strongly with a younger DTC customer in particular. Throughout the holiday season, we maintained a high share of full-price sales. On's gross profit margin in Q4 reached a very strong 60.4% over our midterm ambition of 60% plus and an increase of 190 basis points year-over-year. The increase versus the prior year was further driven by the higher DTC share, overall favorable freight rates and limited use of air freight. SG&A expenses, excluding share-based compensation in Q4 were 48.9% of net sales, up from 45.1% in the same period last year. The increase was primarily driven by planned, continued investment into brand building, which we had slightly scaled back in half year 2022 (ph) to absorb some of the higher freight costs. In addition, G&A (ph) saw an increase as percentage of net sales, largely due to the somewhat different sales facing in 2023 versus 2022. The resulting adjusted EBITDA margin of 16.1% for the fourth quarter is well ahead of our latest expectations. For the full year '23, this brings our adjusted EBITDA margin to 15.5%, an increase of 200 basis points year-over-year and significantly above our 15% target. This achievement further exemplifies our commitment to not only drive significant growth, but also consistently increase our profitability and take steps towards our stated 18% plus mid-term target. Ultimately, it shows the power of our premium brand positioning. As a result of the temporary downward movement of the U.S. dollar Swiss Franc FX rate in late December, resulting in a 0.84 year end Swiss Franc per U.S. dollar closing rate. The revaluation of our U.S. dollar balance sheet items led to the recording of unrealized FX losses in Q4, weighing on our reported net income and turning it to a loss for the three months period. However, based on current spots rates, we expect a partial reversal of these Q4 losses and a corresponding gain in the course of 2024. For the full year, we are very pleased to have reached a record net income of CHF79.6 million, up from CHF57.7 million in the prior year even with the significant unrealized FX charges to our reported profits. A strong focus in 2023 was on improving and strengthening our balance sheet, most importantly inventory and liquidity. To recall, due to the expedited recovery of the global supply chain, we started into the year with an elevated inventory position. Our focus throughout the year had been to maintain the inventory level while growing ourselves. Our teams have done a tremendous job to finish 2023 with roughly the same number of items in our inventory as we had at the end of 2022. In the same time frame, our business has grown by 55%. This puts us in a great position heading into '24 while still providing further opportunities to optimize and to drive additional operating cash flow over the coming quarters and years. We significantly reduced the level of capital expenditures from '22 to '23, both on an absolute basis as well as in percentage of net sales. While we had major investments into our office infrastructure in 2022, we invested 2.6% of sales in 2023, mainly in our retail expansion technology and some smaller offices. On an ongoing basis, we continue to expect CapEx in the range of 3.5% to 4.5% of sales. This includes high expenses in connection with our planned acceleration of retail store rollouts. As a result of our strong profitability and the improved net working capital position, we achieved an operating cash flow of CHF232 million and a net cash flow of CHF163 million in 2023. This is by far the strongest cash flow in the history of the company. At the end of the year, our cash balance stood at CHF495 million, significantly up from CHF371 million at the end of '22. Together with our CHF700 million credit line, we are very well financed to invest into our future growth and to dream big. With that, let me turn to our outlook for the year. In 2024, our fans can expect an incredible pipeline of new exciting and highly innovative products combined with big brand moments and some surprises that are not yet ready to be shared. And all of this delivered by an even stronger, more effective, more efficient and more consumer focused execution engine. Our mission is very clear. We want to be the most premium global sportswear brand. Over the past two years, we have learned a lot, insights that give us confidence about the return on our planned investments. For example, how we convert brand awareness into sales and ultimately into our DTC business, learnings about the right formats and layout for our owned retail stores and a much deeper understanding of the unit economics and investment levels or how we scale apparel and optimize product lifecycles. Overall, we have a lot more insights, conviction and execution capability than we ever had before. And we are very clear on our priorities for 2024. Number one is capitalizing on the immense global momentum of our brand. While we will continue to grow at unprecedented rates at this scale, we know that the On brand continues to have huge upside in terms of brand awareness and to drive and grow cultural relevance within our core communities and beyond. David elaborated on the incredible opportunity our brand has to fully capture the merging of sports culture and fashion. 2024 will be a year to scale existing and new audiences globally with large brand moments, at our core remains the running community. We believe that the road to the Paris Olympics offer a great opportunity to connect and build credibility as an innovation driven premium performance brand around the globe. As mentioned, we certainly have a few surprises up our sleeves. Priority number two is apparel. During the last one and half years, we made huge steps in creating an exciting apparel product pipeline and at the same time a dedicated powerful apparel organization within On. Recent demand from our partners for our updated styles has been higher than our already ambitious expectations. So much so that we had to increase production to fill the growing demand. We're extremely excited to kick-off our apparel in tennis and training, which will allow us to speak to new audiences and apparel first categories. At the same time, we will offer our running community exciting innovations at the intersection of performance, design and sustainability. Priority number three and closely linked to our apparel ambition is On retail. In '23, we have validated and fine-tuned our store concept. From New York to London to Tokyo, our fans are lining up in front of our stores showing the draw of our brand and our premium in-store experience. 2024 will be the year to expand globally with more stores in key cities in Europe, North America and in China, but also first stores in Latin America, Australia and possibly in the Middle East. Our most premium channel not only supports our how quality growth, but manifests our premium positioning and overall price stability. Bring on board a large number of new frontline ambassadors to bring our stores to life in an authentic way that represents our culture and our values is one of the elements, I'm most looking forward for this year. Priority number four is to elevate the power of our multi-channel strategy. The ever growing awareness and strong demand for the brand will mean that our DTC will continue to capture a disproportional share of our growth this year. This is further validated by the strong start into the year of our E-com and own retail stores, outpacing our wholesale growth. Our significantly optimized inventory position will allow us to control the supply into the right channels and the right partners even more consciously. In 2023, we increased our footprint in key global retail partners like JD, Dick's or Foot Locker. We are very pleased with how this has driven high quality and strong wholesale growth last year. At the same time, considering the great collaborations and very positive feedback and pre-orders, we see significant opportunities for the On brand to increase shelf space and same-store growth within many of our wholesale partners. In core markets like the U.S. and Germany, we have the right partners and we expect to see less incremental door expansion in '24. At the same time, we have significant opportunities to increase our wholesale presence in some of our less established markets, which will drive additional to tour expansion. Behind all of these priorities is the common threat to take the next step towards our vision while always being thoughtful about focusing on world-class execution and the long-term success of On. Before we come to numbers, let me quickly remind everyone of our guidance philosophy. When providing guidance, it's always our goal to ensure that we share a common understanding of how we steer our business and how we measure our success and progress. As you know, we always focus on the long term and the achievement of our full year aspirations and will therefore continue to refrain from providing quarterly guidance. When I provide guidance for Q1 '24 in a bit, this can be considered an exception to this rule given we are already heading towards the end of the quarter. Considering the large impacts from FX translations, we have seen in '23 and expect to remain over the course of '24, we will begin to refer to a constant currency growth rate in our stated net sales expectations. This will ensure we stay focused on the things that we can control and have full accountability over elements of our business that we deem to be the primary measures of success by removing some of the noise of translational swings. Now, at Investor Day back in October, we shared our aspiration to grow at a 26% CAGR throughout fiscal year 2026. Our aspiration for 2024 is even higher than that and we expect to achieve a constant currency growth rate of at least 30%. Considering the Swiss Franc strength, this translates to reported Swiss Franc net sales of at least CHF2.25 billion at current spot rates. Within this, the FX translation will be more pronounced in the first half of the year. For Q1, we are seeing strong demand, but we are also compounding against a strong wholesale performance in Q1 '23, driven by the initial expansion into some of the larger key accounts. As a result, for Q1 specifically, we expect a significantly increased DTC share and to achieve constant currency net sales growth of 26%, translating into reported Swiss Francs net sales of CHF495 million. In 2023, we have already demonstrated that our brand is set up to achieve premium margins. We currently anticipate a gross profit margin of around 60% in line with our mid-term target. This serves as a basis to continue on our path towards the adjusted EBITDA margin target of 18% plus by 2026. For 2024, we will continue to invest to drive long-term durable growth while we expect to further increase our adjusted EBITDA margin to 16% to 16.5%. Beyond this, we will maintain our focus in 2024 on further optimizing our inventory and networking capital position. And with that, expect a continued strong positive cash flow. To conclude, we ended the year with a lot of tailwind and opportunities in all parts of the business. The demand for the On brand remains very strong. Exciting product launches and big brand moments are in the making. We have more capabilities to execute on our strategic plan than ever before, from retail to apparel, from E-com to operations, and we have a great team in place ready to dream On. We look forward to another great year, a big thank you to all of you for being a part of our journey. We really appreciate it. And with that, David, Marc and I would like to open up the session to your questions. Operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Aubrey Tianello from BNP Paribas. Please go ahead.
Aubrey Tianello: Hey. Thanks for taking the questions. Wanted to start out with the revenue guide and the guidance for 1Q revenue growth in the context for the full year. Appreciate some of the color you already gave, Martin, on why we should expect an acceleration later. And I know you don't typically guide by channel by quarter, but given the realignment in wholesale that's going on in EMEA, and the year-over-year compares that you referred to, would be great to get a little more color on what the expectation is for wholesale in 1Q, and should we maybe anticipate something similar to the fourth quarter?
David Allemann: This is a bit in a bigger context, and the bigger context is for us, we're very closely focused on sell-out, and we're seeing that demand is much higher than supply and to the channel, which is great, which is where we want to be as a premium brand. And when you look at Q3 and Q4, last year, then you basically saw that Q3 on a Compton currency had roughly 55% growth, and Q4 roughly 20% growth. So on average, this gives roughly 35% selling growth into wholesale. And I think this is a meaningful number to look at. Now, when we look at EMEA, so we are seeing the door closure impact and in Q1, this is specifically high. So we roughly have a 9% overall impact on the EMEA number in Q1 and 13% roughly for wholesale. So this is really -- the door closures being pronounced in this quarter, and then it will level out more around 5% of the wholesale number.
Aubrey Tianello: Great. Thanks. And if I could just ask a quick follow-up, I think the mid-term target for On store openings is about 20 to 25 per year. Is that what we should expect to see in 2024, or does it sort of ramp toward that rate later?
David Allemann: Yeah. So, including China, we're looking at roughly 17 to 19 retail locations that we're opening in 2024. But as we're stating every single time, it's very important that we have some flexibility. This is not just about the absolute number, it's about getting the right location and the right size to reach the right consumer. But if you consider roughly 20 stores in 2024, then this is not a bad number.
Aubrey Tianello: Got it. Thank you.
Operator: Your next question comes from the line of Alex Straton from Morgan Stanley. Please go ahead.
Chad Britnell: Hi. This is Chad Britnell on for Alex Straton. First, for me on the full year guide, can you just talk a little bit more about some of the assumptions you've made on the DTC and wholesale side as it relates to building to your full year number for 2024?
Martin Hoffmann: Yeah. Very happy to take this. So we laid out our plan in the Investor Day, and we said we believe in the multi-channel strategy. So this is E-com, retail and our wholesale partners, and we want to grow in a meaningful way in all the different channels. At the same time, we always said that we expect an increase of our DTC share, and we have proven that again last year and especially in the fourth quarter, and also our communication, now what we are seeing in the first quarter shows the strengths that we have in our direct channel, be it retail, be it E-com. We will continue building our capabilities there. We will significantly invest in our tech capabilities. We just spoke about the retail expansion, and we see that high quality demand coming into the channel. So we have a strong confidence that we will continue seeing an increase in our DTC share. And to the point that Marc just mentioned, that channel will be basically not impacted by the comparisons that we have in wholesale, where we have the impact from the expansion into new doors. But we maintain a high sell-out number and basically a high demand in the channel. So it will be a focus and it will drive sales beyond the guidance that we give for the whole business and yeah, it remains our closest and most premium touch point with the customer.
Chad Britnell: Great. Thanks. And then just a quick follow-up for me. So, on order book strength in the first half of 2024, your commentary last quarter was a bit more upbeat than peers and it seemed like you were seeing some strong demand signals when you reported 3Q. So just wondering if you're seeing any softening there or potentially adopting a more cautious outlook that's a bit more in line with what we've seen from some of your peers.
Martin Hoffmann: I think we have seen really strong demand in the holiday season. We knew already quite a lot at the time when we communicated it last time, it was a very promotional environment. We stayed full price with a high share. This is also reflected in our strong margin. And so we are very happy. And what we really see is, and we mentioned that in the call, our retail partners and our DTC channels have seen a very strong growth. And it's also not a surprise that there is probably some competition that we see in the online channel when it comes to some of our key accounts that are driving a significant holiday business as well, so that's something to factor in. But in the end, for us, it's about reaching the right customer with the right product. And so, if we look at the overall demand that we have seen in the holiday season, this was clearly very, very strong and above the outlook that we have given where we see the growth for the business in the future.
Operator: Ladies and gentlemen, as a gentle reminder, please limit yourself to one question. Your next question comes from the line of Jonathan Komp from Baird. Please go ahead.
Jonathan Komp: Yeah. Hi. Thank you. Good morning or good afternoon. I want to follow up on the full year guidance. If I could ask maybe a broader question, just the fact that the constant currency growth of 30% is above the long-term CAGR you outlined. Could you maybe just touch on the factors that give you confidence of projecting above your long-term targets, especially since there is some acceleration in the constant currency growth after the first quarter? And could you just touch on the Olympics, what you're hoping to accomplish and what sort of the moment could represent for the brand? Thank you.
Marc Maurer: Thank you, Jonathan. That's a long one question, but we're super excited to talk about the Olympics too. I think we're -- so what gives us confidence? One is, we're extremely closely watching sell-out in our key channels. And so wholesale partner, but also retail and our On E-com on what we're seeing in terms of demand going in makes us very positive. And again, I mean, I think we already spoke about it, so we're really where we want to be in terms of being able to limit product supply to exactly the right channels, keeping the brand premium and catering to that demand. Then, the second element that makes us very positive is that how it's reflected in the product. So apparel is growing when we look at future and pre-orders that we have on the book. So, for example, pre-orders in -- for fall winter '24 in apparel are more than doubling and the sell-out that we see how sizing is being -- the new sizing is being adopted by the market, all makes us feel very positive about how the category is growing. And then, we also see that our bread and butter, which is really the core running market, we continue to gain share in run specialty, but also in the DTC channel like Dick's. And I think one element there is maybe you followed the launch of the Cloudmonster 2. And the Cloudmonster 2 very clearly segmented more into the channels that cater to the runner and it's doing extremely well. And it's not really cannibalizing the Cloudmonster 1 a lot. So both products together have grown. And then also we will launch Cloudmonster Hyper. And that one is then the even most elevated product. And so like that, you can basically see how the product segmentation is working out and we can reach more consumers with more segmented products. And then probably, lastly, the pre-orders that we have on footwear into the year '24, which are partially forecasted that we do together with accounts, but partially hard pre-order is above guidance. And this gives us confidence that ‘24 (ph) but also beyond. We are ahead of the LLP growth projections on a constant currency basis. And then very quickly on the Olympics. So super excited, going from New York to Paris in a few months. I think we will really showcase product innovation. So bringing On as an innovative premium brand to the market. So we'll be there with On hub with a specific location where you'll be able to witness some of our latest product innovation. Part of it you could already see in the Barcelona marathon where Tadesse Abraham won a new course record and Swiss record in the cloud boom strike. And you'll see an even more elevated product from what he was wearing in Barcelona. And you'll also be able to see our latest apparel collection and how it connects to the Swiss athletes, but all the athletes, the On athletes that will be there. And then finally, we are 99% sure that we'll have our [indiscernible] store open by then. And so you will be able to see On in one of the most prominent streets in the world and we can bring the brand in front of even more consumers around Paris Olympics. Long answer, but it was a long question, so thanks for bearing with me.
Jonathan Komp: Very good. Thank you.
Operator: Your next question comes from the line of Jay Sole from UBS. Please go ahead.
Jay Sole: Great. Thank you. I have one question, but two parts. First, on the gross margin guide for approximately 60% this year, can you just talk about some of the drivers to get from the 59.6% level of '23 to the 60% for '24? And then just to follow up on the Olympics question, how do you see marketing as a percent of sales developing this year in fiscal '24, given it is an Olympic year and probably a lot of marketing spend around that event? Thank you.
Martin Hoffmann: So happy to take the margin question. So we always said that we are running our business at the 60% margin. We are a premium brand, we have premium pricing and we have the power. We have -- we maintain that high share of full price sales. And 2023 was the first year where we were able to show almost the full potential of the gross margin. There were still some headwinds, especially in the beginning of the year. You remember from basically the additional costs that we had from the inventory. But for '24, the key driver will be a higher DTC share. So this is the key underlying factor. We are not planning significant price increases in '24. We have -- we will be increasing prices on some of the updated models. So you have seen this on the Cloudmonster, where the Cloudmonster 2 is at a $10 higher price point than the Cloudmonster 1. But besides that, that there will not be a meaningful pricing round this year. That's something that we are looking then into 2025.
Marc Maurer: And on marketing spend, I think just considering the Olympics for us would probably be the wrong thing to do. I think what we're trying to do is increase brand awareness and consideration in a meaningful way over time in the key markets. And I think Martin has elaborated on it in the prepared remarks. We feel there's a lot of opportunity to continue to increase brand awareness, especially in already sizable markets like the U.S. So we will use the Olympics to basically tell the Olympic stories through our eyes and the eyes of the athletes, which is very much around kind of competing together versus competing against each other. And as already said, we feel it's a great window to bring product innovation to the market. And so it's more a story that we can use to tell. But in terms of absolute spending, this will continue to be around 12%. And really with a focus on increasing brand awareness across the globe, where we feel we have opportunity is to bring almost a little bit less messages in a more concentrated way to the market. So how do we focus our marketing spend on the biggest cities, on where the money has the biggest impact, and how do we deal with stories that we almost tell over and over again? And so it really lands with the consumer versus our -- spreading ourselves a bit too thin, and that's an area that we're looking at.
Jay Sole: Got it. Thank you so much.
Operator: Your next question comes from the line of Abbie Zvejnieks from Piper Sandler. Please go ahead.
Abbie Zvejnieks: Great. Thanks for taking my question. Can you just talk about, as you launch new products and category, like, train with the Cloudpulse, some more in lifestyle with Cloudtilt, is there any way that you're segmenting the product differently or any wholesale accounts where you think you can significantly expand into those new categories. And then just kind of as a follow-up, you mentioned wholesale accounts you feel well penetrated in terms of actual doors in North America and Germany, but there's more opportunity outside of that. Can you just give us a little more color on what you mean or examples of that?
David Allemann: I'd be very happy to comment on how we're expanding our product in apparel and in training, and Marc can probably then shed some light on the different wholesale accounts. I mean, one thing is very clear, the apparel category is clearly working. Martin mentioned it. Our growth in DTC last year has been 110%, so that works really well. And so also, if you're looking at now the apparel growth in fall winter '24 pre-orders versus fall winter '23, we see a 126% growth. And that's across the different collections in apparel, and it also includes different price points. So clearly, apparel is working. Now, of course, the Cloudpulse is our footwear piece in the training vertical. But it's also very important to note that, of course, in training, a lot more apparel pieces are sold than footwear, so we have really high hopes to penetrate training. And we already see that, because if you go to a premium gym in the U.S. and across the world, you see how consumers adopt to a large extent also on running shoes and on running apparel and we truly build on that. So that's how apparel, and especially, also the training vertical is working.
Marc Maurer: And very quickly on wholesale. So last year, you saw roughly 8%. So last year, 2023, 8% net increase. So this includes the new doors, but also the ones that we closed in the wholesale channel. And you can calculate with a similar number for 2024, so roughly 8% net overall.
Abbie Zvejnieks: Thank you.
Operator: Your next question comes from the line of Jim Duffy from Stifel. Please go ahead.
Jim Duffy: Thank you. I wanted to ask about the inventory. Very good progress to tighten inventories exiting the year. Can you speak to the inventory composition by region and how you're projecting inventory into early 2024, maybe the Q1 and mid-year expectations?
Martin Hoffmann: Thanks, Jim. So [indiscernible] a big focus for us in 2023 to really manage that inventory down and great work by the team. We are now in a position where we have a good inventory level, but there is still room to optimize. So if you look at the number at the moment, that's about six months of reach. We always said that we see that we should be rather at four months of reach, so there's further optimization going on. But very important is it's still the right inventory. So it has been the right inventory last year, it is still the right inventory, so there's no risk sitting in our inventory, and we will continue our path on increasing ourselves stronger than our inventory position. The picture is the same in all the different regions, so inventory situation is healthy in the different regions. We are in a position to fulfill the demand, but we are also now in a stronger position to hold back if we think that this is in the favor of our long-term durable growth and really an important step into the right direction. I said it a year ago that for us a working capital of around 30% of net sales is something where we have been in the past and where we want to be. And this is where we are now and now we can optimize from that.
Jim Duffy: Thank you.
Operator: Your next question comes from Liv Townsend (ph) from JP Morgan. Please go ahead.
Olivia Townsend: Thanks for taking my question. It's just on the stores, as you've continued to open more, is it possible to talk now about like-for-like trends in stores or maybe sales densities, or just anything that would help us understand a bit more about the store performance and profitability?
Marc Maurer: Yeah. Thank you. I assume you're talking about our On retail stores, so…
Olivia Townsend: Yes.
Marc Maurer: I think what -- so the way to think about this is basically almost like kind of different stores that cater to different consumers. So one is, how do we reach in high traffic locations and very broad consumer base. So you can think about Regent Street and Champs-Elysees would definitely be one. Some of the Lafayette store in New York, for example. So how are we bringing large enough footprints to a very high traffic? And then I think we're also trying to cater a more local consumer base. So if you take the Williamsburg and store New York, or the [indiscernible] store and in Paris [indiscernible] are a little bit smaller by size, but that cater very much often to a wrong community. So we do a lot of community runs, a lot of store activations and so on. And for us, it's very important that our stores are able to bring the different verticals, product franchises and communities to life, and that we're able to cater to those. And now when you look at the high-traffic locations, like Regent Street, we are extremely happy how they are performing and they're driving significant revenue. So can invite you all to go to London. I think we've shared some insights in the past, but those locations work really, really well. And what we learned is that we need more space to sell product. I think we're trying to find out what's the right split between being -- bringing amazing experiences to the consumer and just being commercial. And I think this is where we're learning a lot. We've made improvements in, for example, New York store, in the London store, and it's really showing this, especially showing in the apparel share. So the apparel share continues to increase as we're giving more space for apparel and as we're giving more space for visual merchandising. And then, I think the second thing that we're learning is that many of our stores are too small. So we started relatively small, almost like we're guiding and trying to kind of overachieve a little bit the initial ideas that we had, and so I think we learned a lot through that. And it allows us now to upscale the store footprint and bring bigger stores to the market and that's the biggest focus in China. So it's not only about adding new stores, it's also very much about taking existing locations and bringing more square footage and square meters to the consumer. And I think this is -- so when you look at the future, don't only look at the amount of stores, also look at square meters that we can bring to the consumer, and in the end, the profitability that we can drive out of it.
Olivia Townsend: Thank you. And if I could just ask a very quick second question, just on the guidance on EBIT -- on adjusted EBITDA. What kind of FX impact are you expecting to see at the adjusted EBITDA level, given the mismatch in FX on OpEx, would we be right to assume that there's a slightly larger FX pressure on the guidance for adjusted EBITDA versus the sales? Thanks.
Martin Hoffmann: Well, the impact of FX on our EBITDA margin is very small, so you can take this out. We are much more balanced when it comes to our full P&L on the currencies. The strongest impact sits on the top line, that's why we call it out. But the 16% to 16.5%, that's our goal for the year, both basically reported and constant. Of course, the absolute number is impacted by the currency as well.
Olivia Townsend: Thank you.
Operator: Your next question comes from the line of Ashley Owens from KeyBanc Capital Markets. Please go ahead.
Ashley Owens: Hi. Great. Thank you. So just could you elaborate on any notable areas of strength within the product assortment quarter to date? Any new product launches you believe are currently or will be pivotal in driving share gains this year? And then just how have you seen repeat purchase rates trend as you kind of continue to expand both that product assortment and DTC share would be helpful.
David Allemann: Let me probably comment on exciting new products and also product strength. I mean, we already talked about the Cloudtilt and how the launch has shaped up in an incredible way, so we feel that can be a new blockbuster franchise in performance all day. And we also talked about the Cloudmonster franchise and how it's now expanding with the Cloudmonster Hyper. But we're really strongly focusing this year on performance in running. So the Cloudrunner too is still launching this spring. Then, we already mentioned the Cloudboom strike, Marc mentioned it, that's going to launch in July. Another technology leap in our super shoe range, striking fast as the name says, and our Pinnacle marathon racing shoe, as now proved in the Barcelona marathon last weekend. And then, we continue into August with the Cloudflyer 5 and the Cloudsurfer Next. The Cloudsurfer Next is truly exciting because it's for a young audience, attractive entry point at $150 in our Cloudsurfer franchise and featuring our new CloudTec phase. So really focusing on performance and running. And as you remember also from the intro, it's seven franchises that now contribute more than 5% to our range.
Martin Hoffmann: And then just on the repeat purchase. So what we see in E-com is very similar to our wholesale development. So On is growing based on more sales with existing customers and honest growing because of a strong gain of new customers. And what we are very encouraged about is that with our expansion of the product assortment and especially, bringing more silhouettes that speak to younger customer that's something that we very clearly see in our new customer acquisition. So just looking at what is the share of customers that is below 34 years old, in 2021, that share was around 24%. Now in '23 the share was already 29%. So 29% of the customers that we acquired newly in our DTC channel last year were 34 years and younger. So definitely in the right direction. And that's then also reflected in the success and in the respective key accounts like Foot Locker and JD.
Operator: We have time for one more question and that question comes from the line of John Kernan from TD Cowen. Please go ahead.
John Kernan: Thanks for taking my question. Hey, Martin. Just got asked a few different ways, but how should we think about the magnitude of the FX result? It obviously created a big EPS headwind in fiscal '23. I'm just curious. I think you said that there's going to be some reversal in fiscal '24. But just as we model both adjusted EBITDA and EPS, I think it'd be helpful if we had a little bit more color on the magnitude of the line item here.
Martin Hoffmann: Thanks for that one. So I can elaborate a little bit more on this. So, it's very important to understand how we translate our foreign exchange balances into Swiss Francs. So, on the P&L, that's based on an average rate. So it's a moving average rate, whereas the balance sheet is always translated based on the quarter-end FX rate. So if we look into 2023, the Swiss Franc has gained in value against almost every currency in the world. So for us, U.S. dollar, Euro, British Pound, currencies from China and Japan, those are the ones that are important to our business. So if you take the dollar and Swiss Franc ratio, for example, then the dollar dropped from $0.96 to $0.91 in the course of 2023 and is sitting at around $0.88 today. So this will -- this has already driven an headwind in the P&L last year, and this is what we called out will continue to drive an impact in 2024. Now, if you look at the rate, then it really dropped again towards the end of December down to $0.84 and that was the rate that we had to use to convert our balance sheet and this has driven a meaningful ethics impact. It's unrealized, but it has driven that. It's also visible in our cash balance, it's also visible in our inventory balance. I called out that our inventory items stayed flat, but if you look at the reported number, it actually came down 10%, which is the FX impact. Now, today, as I just mentioned, we are at $0.88. So there has already been a recovery from the $0.84 of the end of the year. So that's why we expect if the rate stays that we have some of the unrealized gains coming back and resulting in FX profit. But it's only on that line versus the revenue and the gross profits. Those are impacted from the continued downward trend that we see on the -- on this -- on the U.S. dollar and other currencies over time. So, not super simple, but I try to shed some more light on that.
John Kernan: That's helpful. And then maybe just one follow-up on the SG&A. Just based on the high end of guidance of the adjusted EBITDA margin guidance, it seems like you are expecting some SG&A leverage even with the shift to DTC. So maybe talked about the levers within the SG&A, the costs of the store expansion, and how should we think about the ability for more SG&A leverage going forward.
Martin Hoffmann: Yeah. So we continue to execute on our path to higher profitability levels. Our mid-term aspiration is 18% plus. So we invest in automation in the warehouses. So we expect in '24, basically not an improvement yet, but we will lay the foundation to then see significant improvements in 2024. At the same time, we have economies of scale in many other parts of the business. So when it comes to administration, when it comes to the profitability of certain markets, like China, for example. More of our stores become more profitable and that's helping the overall number. At the same time, we continue to invest. We continue to invest in retail store rollout, we continue to invest in building apparel in China, in other upcoming markets, in our tech capabilities, in sustainability. And that's why we feel that this 16% to 16.5% is exactly the right balance of investing in growth but at the same time, further increasing profitability. So we will manage that in the way we have done in the past. We are committed towards that number, but we will reinvest any additional gains that we have in order to fuel growth for the future.
John Kernan: Very helpful. Thank you.
Operator: Ladies and gentlemen, that does conclude today's Q&A session. And with that, that does conclude today's conference call. Thank you for your participation, and you may now disconnect.